Operator: Welcome to BioGaia Q3 Report for 2025. [Operator Instructions] Now I will hand the conference over to CEO, Theresa Agnew; and CFO, Alexander Kotsinas. Please go ahead.
Theresa Agnew: Hi. This is Theresa Agnew, CEO of BioGaia. We are here to present our Q4 results. So first off, our financial highlights. We had strong organic growth for the quarter of 32%. We had an EBIT margin of 27% and overall free cash flow at SEK 77 million. In terms of an overall summary, for the year, we hit SEK 1.5 billion, an increase of 14% in organic growth compared to last year and overall 8% growth adjusted for currency effects. In the fourth quarter, as I said, we had 32% organic growth and 21% including currency effects. We did experience some order variability in the fourth quarter as is typical across some of our quarters, and that was approximately SEK 35 million. Our overall operating profit for the quarter was SEK 121 million, which is an increase of 17%. And our EBIT margin, as I said, was 27% for the quarter. In terms of our strategy, we have 3 strategic pillars. Our first is what we call grow the core, and these are our core health areas, of which gut health, colic is a part of that for infants, oral health and immune health are our 3 core health areas that we focus on through our marketing and commercial excellence. Our second strategic area is what we call expansion through direct markets. So I'll talk about this a little bit in terms of how we have been expanding our business through new direct markets in 2025. And then our third strategic pillar is what we call breakthrough innovation. So think about this as market creation opportunities for probiotics, where probiotics are not used regularly. And the foundations that underpin our strategy are, of course, our people and culture, investing for profitable growth, digital as an enabler of our business in terms of how we go to market with our omnichannel approach as well as digitizing our business internally for more productivity and efficiency. One of our foundations, which has been a foundation for many years is driven by science. It's a key differentiator of who we are as a brand and in our products. And then finally, sustainable solutions, where we're focused on sustainability in multiple areas, packaging, raw materials and so forth. How did we deliver on our strategy? So in terms of our first area, grow the core, we're driving growth, as you saw in both the Pediatric and Adult segments for the quarter as well as for the year. We're investing in marketing and selling activities to drive very strong growth in the direct markets. And we are growing ahead in our direct markets, so strong double-digit growth versus our partner markets. We continue to roll out new products. So we launched a product called Gastrus Pure Action In the fourth quarter of 2024. And so in 2025, we continue to roll that out across a number of countries. And I'm very happy to report that in Q4, this product really set a record. It is the third highest growth contributor in terms of SEK 1 million to our business. So it's doing extremely well in the markets where we've launched. And then finally, in Q3, we launched Prodentis Fresh Breath. We launched that in the U.S. market and have also been rolling that out in Q4 and we'll continue to do so in 2026. So these 2 product launches have been very beneficial for us in terms of driving our growth, and we'll continue to roll them out in more markets in 2026. In terms of our second strategic area, expansion through direct markets, our direct market sales now in Q4 represent 40% of our sales. And as I said, are growing ahead of our partner markets. So this has been a change over the last 2 years in terms of our sales used to be around 30%. Now it's 40% driven by our direct markets. We launched in France in 2025 and also the Netherlands. So those 2 markets are doing well. France had a strong Q4 sales with record sales. Australia, we had launched in 2024, and that market, in particular, is doing very well for us. Our Protectis drops are now #1 in the market in Australia, whereas they previously were not with our previous partner. And in 2025, we had record sales in our U.S. market, SEK 316 million, which this represents 30% organic growth. So very strong performance by our U.S. market as well as our Canadian market, also strong double-digit growth. In the terms of breakthrough innovation, in 2025, we established a new subsidiary called BioGaia New Sciences with a strong focus on skin health. We have our probiotic ointment that we had launched and now is rolling out to more markets in 2025 and is also doing well where we launched it. So this is our overall how we've delivered on our strategy in Q4 as well as in 2025. In terms of our product launches, as you can see, we had a lot of product launches in Q4. So this lists all the different countries where we have launched different products, whether it be Pharax drops, which is one of our immune health products, Prodentis Fresh Breath lozenges, as I mentioned, Gastrus products, Prodentis products, so various new launches across markets in Q4. And as you see here, we've highlighted the markets where we rolled out Gastrus Pure Action, which I mentioned in Q4. Some of the key events that we have talked about in the quarter. In October, we announced a study on a new patented strain, which is called BG-R46, and that was published in a journal called Beneficial Microbes. Also in October, we talked about a study on a new bacteria for us that actually produces serotonin. So this is a first for bacteria. So more to come on this. This is a preclinical discovery. So we'll be doing more work on this in the future. And as you know, serotonin dramatically affects the brain in terms of mood and overall well-being of mental health. And then just recently, in February, we announced that our fourth quarter results exceeded our market expectations. And the Board is proposing an ordinary dividend according to our policy and also an extra dividend for a total dividend of SEK 4 per share. And overall, when you look at the business for Q4, as I said, we had 32% overall organic growth in the quarter for Pediatrics, 34%, for Adult, 27%. So Pediatrics represents about 75% of our overall revenue. And in the quarter, we saw some significant increases for Protectis drops in China as well as France. And also in the quarter for Adults, we saw some significant increases in Gastrus as well as Prodentis, mainly in the U.S.A. And in the chart, you can see our quarterly variations over the last 2 years. So you can see the various fluctuations. Sometimes we'll have more orders from partners in one quarter, less orders from partners in another quarter. And in terms of our sales per segment, I mentioned Pediatric and Adult for the quarter. But overall for the year, we had organic growth in Pediatrics of 11% and 22% in Adult Health. So both of these areas growing very well overall for the quarter as well as for the year in 2025. In terms of our regions, for Europe, Middle East, Africa in the quarter, we grew 34% and this is organic growth. And in terms of the year, we grew 1% in Europe, Middle East, Africa. A couple of comments here. For the quarter, we saw some increases in sales in France and Eastern Europe as well as in Italy. But also overall for the year, we took our business direct starting in April. So in Q1, we did -- we had much lower orders from our partner and also we had a period of time where our partner sells through their inventory. So then it takes a while then for our sales in the direct market to build. So that's also what impacted the overall year for EMEA as well as Germany. So we're now taking Germany direct. We've now launched that in Q1, Germany and Austria. So same thing in 2025, we see our distributor partner have less orders, so we have less overall sales, and then we start to see that pick up. So we will see the continuing decline of those orders from our partner in the beginning part of this year, 2026, and then start to see the sales growth for Germany in the second half of 2026. So for Asia Pacific, for the quarter, organic growth of 46%. Overall for the year, 19% organic growth, very strong for the quarter in China and the Philippines. We also had some quarterly variations for China in terms of orders in the quarter for Q4. So overall, Asia Pac doing extremely well in terms of overall growth, strong performance, as I said, China, Philippines as well as Indonesia for the year. For the Americas, for the quarter, we saw 20% organic growth and overall for the year, 22% organic growth. So in the Americas, as I said, U.S. is a standout market for us in terms of growth. So 30% overall organic growth for the year. In addition, we saw strong growth in Guatemala as well. And as we've discussed previously, especially in the U.S., we had increased our marketing investments to drive our overall brand awareness and equity and expand our market share, and we successfully did that in 2025. So now I will turn it over to Alex to go through the financials in more detail.
Alexander Kotsinas: Thank you, Theresa. So if we start to summarize, we had a sales growth, as we heard of 21% from SEK 365 million to SEK 441 million. And we had a growth in gross profit of 25% to a margin -- gross margin of 74% compared to 71% in the same quarter last year. Our EBIT increased with 17%, and the EBIT margin was 27% versus 28% in the same quarter last year. As we heard, we had a total sales growth of 21%. However, we had considerable negative currency effects of minus 11%, so that our organic growth was 32% in the quarter. In terms of gross margins, we had an overall gross margin of 74% in the quarter compared to 71% 1 year ago. If we look at the 2 segments, Pediatrics increased its margin from 72% last year to 76%. This is mainly due to mix effects, both geographic mix effects and some product effects and also that we have done some price increases continuously here. And if we look at the Adult, we saw a slightly lower margin of 64% in the quarter versus 67%. This is really only related to some variation in some larger order mix effect that we had in the quarter. And as you can see for year-to-date, our Adult Health margin was 66% higher than in the quarter and also substantially higher than compared to the full year last year. So for the full year, we had an increase of our gross margin to 73% versus 72% a year ago, driven both by increases in margin, both in Pediatrics and Adult Health. If we move on to the operating expenses. Our total expenses were SEK 203 million in the quarter versus SEK 155 million 1 year ago, which was an increase of 31%. We didn't really have any adjustments in the quarter. However, we had it for the full year. For the sales and marketing, our costs increased 21%, basically in line with the sales increase. R&D costs increased 9%, administration, 8%. And then we had negative currency effects of SEK 6 million in the quarter. If we look at the full year, we had a cost increase of 18%. However, there were some one-offs in the same last year -- in the previous year in 2024. We had a write-down of an impairment for the MetaboGen acquisition, which affected the R&D costs. So if you normalize for that, our OpEx increased with 29%. For the full year, the sales and marketing also increased in line with what it did in the quarter, 21% and our administration costs increased 14% and we had considerable negative currency effects of SEK 40 million for the full year last year, which obviously affected our margin negatively. And this is mainly an effect of the weakening dollar versus the Swedish crown (sic) [ krona ]. We move on to the next to summarize the profit and loss. We had a total sales of SEK 441 million, OpEx of SEK 203 million and an EBIT of SEK 121 million, which then was a margin of 27% versus 28% last year and an earnings per share of SEK 0.98 versus SEK 0.81. And as we heard Theresa mentioned, for the full year, total sales of SEK 1.54 billion, an increase of 8% and an EBIT that was slightly lower, 3% lower due to the higher operating expenses and an EPS for the full year of SEK 3.29 versus SEK 3.48 last -- in the previous year. In terms of our cash flow, we had a cash flow from operating activities before changes in working capital of SEK 109 million, an improvement of SEK 14 million. The changes in working capital were, however, in the quarter negative SEK 25 million compared to plus SEK 9 million in the same quarter last year. This is mainly due to an increased number of receivables because we had a lot of sales in the later part of the quarter. So this will normalize in the first quarter this year. There is no one-off special effects. It's more an effect of the fact that some of the sales came later in the quarter, for example, those orders that -- the one-off orders that we mentioned. Cash flow from operating activities then at SEK 84 million versus SEK 103 million in the same quarter last year. We had very, very low investment -- cash flow from investments in the quarter, basically 0. Some cash flow from financing activities, minus SEK 7 million and a total cash flow in the period of SEK 77 million and the cash at the end of the period of SEK 800 million. And for the full year, we had a cash flow from operating activities of SEK 307 million, and we had a cash flow for the period of minus SEK 407 million, mainly then due to the negative cash flow from financing of the dividends, which were approximately SEK 700 million that we paid out last year. So with that, I hand over to Theresa for some final remarks.
Theresa Agnew: So overall, in summary, our organic sales for the fourth quarter grew 32%. As we said, we had some order variability as we often do in the fourth quarter, approximately SEK 35 million. Our Pediatric segment, very healthy growth of 34% in the quarter. And overall, as I said, Protectis drops increased across all of the regions and mainly in China and France saw some significant growth. And the Adult Health segment in the quarter grew a very healthy 27%. So strong growth of Gastrus as well as Prodentis in the United States. All regions for the quarter delivered double-digit growth. All direct markets also delivered strong growth, as I mentioned. We, in 2025 as well as in Q4, invested in marketing activities to drive growth across our direct markets, specifically the U.S. is an area that we had strong investments in 2025. We did see strong double-digit growth in the quarter as well as year-to-date in the U.S., driven by these investments in marketing activities. We also saw strong sales in Europe, Middle East, Africa for the quarter. And as I explained, weaker sales overall for the full year, and this is due to establishing our direct markets of France and Germany. And overall, for the operating margin, 27% versus 28% last year for the quarter. So for the full year, we saw organic growth of 14%, 8% adjusted for currency. As we discussed, we have successfully delivered on our strategy with growing our core business around oral health, gut health and immune health. We are expanding our direct markets, very successful in driving growth in those markets ahead of our partner markets. And we've been successful in launching and rolling out new products across our global markets. And as I said, we have some particular very successful new products such as Gastrus Pure Action as well as now Prodentis Fresh Breath that we will continue to roll out in more markets in 2026. And as we look towards 2026, we remain committed to our ambition of growing low double-digit growth in terms of our top line, and we have a long-term EBIT margin target of 34%. So based on revenue, controlling our costs, we will see margin expansion in 2026 that will guide us more toward not quite yet to that long-term goal for margin. And we are proposing a Capital Markets Day in 2026. We have an annual strategy review process that we will be doing with our Board as we typically do each year. And then we will be doing a Capital Markets Day with more information to come on that later this year. So we open it up now to questions.
Operator: [Operator Instructions] The next question comes from Mattias Vadsten from SEB.
Mattias Vadsten: Can you hear me?
Theresa Agnew: Yes.
Mattias Vadsten: I have a few. So first one, in terms of understanding the U.S. sales growth. So the 30% organic sales growth you had here in 2025, sort of what products are growing the most, would you say? And what sort of efforts from BioGaia has been central to achieve this impressive figure? That's the first question.
Theresa Agnew: Yes. So in answer to that question, the products that are growing the most are Prodentis, so the adult oral health area. So Prodentis, we do a lot of activities with dentists and dental hygienists to build recommendations for our brand. And then we see that strong growth through online channels. as well as last year, we got distribution for Prodentis in CVS, which is the #1 pharmacy chain in the United States. Most of our growth, I would say, is coming from online sales for Prodentis. So Prodentis is one of the winners. Another one is Gastrus, our adult gut health area. So we've seen strong online sales for Gastrus as well as strong sales for our Protectis drops. And our Protectis drops, we have sales online on Amazon as well as other channels. But in addition, in 2025, we expanded distribution into Walmart. That's going extremely well. Walmart is very pleased with the growth and is now expanding our product into more stores in 2026. So those are the main products where we saw growth in the U.S.
Mattias Vadsten: And then I think you mentioned what share of sales was direct markets in 2025. If you could just remind me of that figure, I didn't.
Theresa Agnew: Yes. So it's around 40% is now direct market sales.
Mattias Vadsten: In full year '25 or in Q4?
Theresa Agnew: Both.
Mattias Vadsten: Okay. And then you focus on immune health, gut health, oral health, of course. And sort of could you -- you grew 14% on a group level for 2025. Could you just say, are you sort of satisfied with all of those 3 areas? Or could you expect better momentum in any of them if you follow what I mean.
Theresa Agnew: I mean I would say we are very satisfied with growth across all of our sectors and extremely pleased with the gut health and the oral health areas. Those are the areas that are disproportionately growing for us across the world and also in very specific markets as well, such as I was talking about the U.S. with oral health, but also Canada with oral health, I would say, is another market, Japan as well as some of the other Asian markets.
Mattias Vadsten: Perfect. And then last one, if you see a more modest OpEx growth from Q1 onwards on a year-on-year basis, driven by...
Theresa Agnew: So for 2026 -- I'm sorry, go ahead.
Mattias Vadsten: No, if you see that coming through and if you're also sort of looking at more modest U.S. investments? Or how do you view that? That was my last question.
Theresa Agnew: Yes. Yes. So we look at -- for 2026, we'll be looking at controlling overall costs and OpEx so that we can drive our margin expansion with also strong revenue growth. And in the U.S., we will be spending less than we were previously in terms of our marketing expenditure. We learn what channels have the highest ROI for us and then focus our marketing spend in those channels with those creative executions. So we will be continuing, of course, our always-on marketing spend in the U.S. and in other markets. And we just -- we have a lot of information now in terms of what drives the strongest ROI, and we'll continue focusing on those particular channels.
Operator: The next question comes from Mattias Haggblom from Handelsbanken.
Mattias Häggblom: So even if I adjust for the one-off order, organic growth was 22% in Q4 despite a very tough comparable last year. So help me understand what that suggests for the momentum in the business heading into 2026 because I guess the instinct is, of course, that we should think of this pull forward order as Q1 will then be weak as a consequence. But if I adjust for the order and you grow 22%, that tells me another story. So help me understand the dynamic of the 2.
Theresa Agnew: Yes. So why we communicate some of the order variability is because we do see this sometimes in our quarters where some partners will order more in one quarter versus another. So we like to signal that. So especially when we've had a strong quarter like Q4, so we make sure that estimates as we look at future quarters are appropriate. So we will continue overall as we look at growth, but not at the levels of our Q4 because we've had some orders that move in from Q1. Hopefully, that makes sense.
Mattias Häggblom: So maybe -- yes, sure. Absolutely. We welcome the disclosure. But I'm still trying to better then understand the 22% growth adjusting for the one-off order, which suggests that the business is having a very strong momentum. So maybe although with the risk of repeating ourselves, remind us, in particular, what drove that strong underlying growth even adjusting for the one-off order?
Alexander Kotsinas: Yes, I can try to answer that. I mean, as you can see, we had exceptionally strong growth in mainly -- well, in APAC and in EMEA. And this is also those areas where we did have those exceptional orders, so to speak. So -- but you can probably guess that, I mean, we would have a very strong growth even excluding that effect in EMEA, which is driven then by what we mentioned, the strong development in France, for example, where we have a strong development there and also some other EMEA markets performing a lot better, so to speak, which we saw sequentially last year during the quarter. So actually, EMEA from being negative was less and less negative and then turned into growth now in the fourth quarter. So in EMEA, it's driven by an underlying improvement in several markets in EMEA. And then it was a continued very strong development in Asia Pacific, even excluding the Chinese variable variation in orders.
Mattias Häggblom: That's helpful. And then perhaps the German transition. So is it possible to help us understand the magnitude of that transition? Is it as large or smaller than the French transition? Just to understand the dynamic when you move from the distributor to direct sales?
Theresa Agnew: Yes. It's a little bit smaller than France because France is one of our largest European markets. So it is smaller, but there still is an effect because in Germany, we've had strong sales, not just for our Protectis drops, but also for Prodentis. So there's that transition across both of those key areas.
Mattias Häggblom: That's helpful. And then in terms of capital allocation, I'm curious to understand, we get the extraordinary dividend, and we know the policy of 50% plus up to 100% extraordinary dividend. But we have a new chair, and we have a somewhat different shareholder cap table basically. So has the management team discussed alternative ways of distributing capital back to shareholders beyond the extraordinary dividend, including buybacks?
Theresa Agnew: Yes. So we have the management team as well as the Board, we have discussed various ways to return value back to the shareholder, and we'll be having more discussions on this as we go through the year.
Mattias Häggblom: That's perfect. And my final one then is you spoke about the lessons learned in terms of marketing spend and what channels had in particular, best ROI. To the extent you can, can you share more color on where things work and where they work less so?
Theresa Agnew: Yes, I can. So where they work better is when we use platforms to drive to our main sales channels such as Amazon. So there are some very specific advertising channels that you can use to drive consumers to specific points to purchase. So that works really well. And so we tested a lot of different channels, but we've also tested different amounts of spend, different creative. Your creative is a big part of your ROI. So also, we look at things such as there's more branded created. There's more things such as what we call user-generated content. So videos and testimonials of consumers talking about our brands. So we do a nice mix between those in our markets. But specifically, those channels that are driving to where our product sells the most have been very successful for us.
Operator: The next question comes from Kristofer Liljeberg from Carnegie.
Kristofer Liljeberg-Svensson: Yes. Coming back to this, the phasing effects and volatility in orders. So if you look at full year 2025, would you say that the total effect has been neutral, positive or negative?
Theresa Agnew: I mean, I'd say overall kind of neutral, I guess, when you look maybe a little bit more. But if you look past at our quarters, we have some order variability. You can see that in terms of our overall business as well as our Pediatric and Adult business. And if you look at the page earlier that we were sharing in the past quarters, sometimes our Pediatric business is a little bit different in terms of quarterly variations versus the Adult business. So overall, we will continue to see order variability because of our distribution network through our partners. As our direct market sales get to be a larger percentage, we'll see less of that order variability.
Kristofer Liljeberg-Svensson: Okay. So even if you were growing 14% organically here for the full year, that shouldn't stop you from continue to grow double digits in 2026. And I'm thinking specifically here also as you will scale back a bit on U.S. marketing, which I think has boosted sales somewhat in 2025?
Theresa Agnew: Yes. I mean our ambition is to continue to grow and to grow in the low double digits.
Operator: The next question comes from Mattias Haggblom from Handelsbanken.
Theresa Agnew: We can't hear you. Is there a question?
Mattias Häggblom: Apologies for that. So a question on direct sales. You said it's up at 40%, growing faster than the rest of the group. Is it fair to assume that you anticipate direct sales to grow faster than the group also in 2026 based on what you know today?
Theresa Agnew: Based on what we know today, yes. We anticipate that we will continue to see this, especially because we've just established our direct market in France, which is a large market for us in Europe as well as Australia is growing well, Canada, U.S., Finland. So a lot -- we have much higher growth in our direct markets, and we anticipate that to continue.
Alexander Kotsinas: And the addition of Germany.
Theresa Agnew: Yes.
Mattias Häggblom: And a follow-up to that then as my final question. Is there any ceiling in the business model? Or how do you think about these 2 different sources of sales for the company over time as it continues to march north as its growth faster, so to say. Where do you think things shakes out over time?
Theresa Agnew: Yes. I would say we anticipate the percentage of our sales from direct markets to accelerate and grow higher because we have a lot of our larger markets now as direct markets. So that is what we anticipate. So that 40% will get larger over the coming years. But our distributor partner model is a very important part of how we go to market. And we are in markets -- we're in over 100 markets globally. So we don't ever anticipate that we will take all of our markets direct. So there will be key strategic markets where we have our business as a subsidiary. And in those markets, as you know, that's where we drive the marketing, the selling activities, the new product launches, all those aspects. So it's a very different setup for us versus working with a pharmaceutical company as a distributor partner. But we do, in answer to your question, we anticipate that percentage will continue to grow over the coming years.
Operator: The next question comes from Mattias Vadsten from SEB.
Mattias Vadsten: Just 2 follow-up questions, if that's okay. First one, I remember in Q3, we talked about a slow Eastern Europe development, and it sounded like you had a big distributor there covering, I don't know, if I remember, 14 or 16 markets. So just what happened there? And if that has coming back as you expected and if it's sort of good momentum in that region?
Theresa Agnew: Yes. So in terms of Eastern Europe, we had a very strong 2024 across those markets. And then in 2025, we saw a little more softness in certain markets. Poland, which is the largest of those markets. And as you said, it's about 16 markets across Central Eastern Europe. Poland is really coming back nicely. And our partner has invested more in terms of selling and marketing activities in that market. So we anticipate Poland, a really good growth market for us for the future and one of the top probiotics markets globally. Some of the other markets are much smaller in terms of size. And so -- but we anticipate solid growth in those areas.
Mattias Vadsten: That's very clear. And then on the U.S., you say 30% growth for the full year. I don't remember -- last quarter, we talked about some 25% year-to-date. So if you're willing to give any color on how Q4 organic growth looked like in the U.S. That's my last question.
Theresa Agnew: Yes. We haven't given information specifically on the quarter-by-quarter. So we will report the U.S. on an annual basis more. But we've had some really nice consistent growth in the U.S. in the strong double digits really throughout 2025.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Theresa Agnew: So this is Theresa. Thank you so much for your questions and for listening for our Q4 results, and we will then be presenting later this year on Q1. So thank you so much.